Operator: Good morning, and welcome to the Gladstone Investment Corporation Third Quarter Ended December 31, 2011 Shareholder Conference Call. [Operator Instructions] Please note, this event is being recorded.
 I would now like to turn the conference over to David Gladstone, Chairman. Please go ahead, sir. 
David Gladstone: All right. Thank you, Denise, for that nice introduction and all the instructions. And hello out there, and good morning. This is David Gladstone, Chairman, and this is the quarterly conference call for shareholders and analysts of Gladstone Investment. The trading symbol is GAIN. And thank you all for calling in. We're always happy to talk with shareholders and like to see some of you come by and see us. If you're in the Washington D.C. area, we're here in McLean, Virginia, a suburb of Washington. So next time you’re in the area, stop by and say hello. We'd be very pleased to see you. I know you’ll see a great team at work here. I think they're the best in the business.
 Now let’s read the statement about forward-looking statements. This conference call may include statements that may constitute forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934, including statements with regard to the future performance of the company.
 These forward-looking statements inherently involve certain risks and uncertainties, even though they are based on our current plans. And we believe those plans to be reasonable. There are many factors that may cause our actual results to be materially different from any future results that are expressed and implied in these forward-looking statements, including those factors listed under the caption "Risk Factors” in the periodic filings that we file with the Securities and Exchange Commission. And those can be found on our website at www.gladstoneinvestment.com and at the SEC website. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise.
 As we always start out, we'll start with Dave Dullum. He’s President and Director of the company. He will cover a lot of ground, including his views of the future of this fund. So, Dave, take it away. 
Dave Dullum: Well, thanks, David, and good morning all. We continue to hold to the plan for Gladstone Investment, which is to invest in buy-out transactions of businesses in the lower middle market. Our investments generally take the form of some senior debt, primarily subordinated debt and equity. This combination produces a mix of assets in our portfolio, which we believe is key to our strategy.
 Our debt investments provide income to grow our dividends while we build shareholder value through capital appreciation of our equity investments. For instance, this quarter end 12/31/11, our investment assets at cost consisted of approximately $188 million or roughly 71% of debt investments and about $75 million or 29% in equity securities, which over time we hope will produce the capital gains.
 This ratio of 71:29 is slightly higher in equity than our goal of 80:20. And this past quarter was due mainly to certain loan payoffs and a debt-to-equity conversion in a portfolio company, though we seek to have this ratio track towards 80:20 over time.
 So we believe the 80:20 ratio will provide the appropriate balance to be competitive in our marketplace, achieve our long-term growth plans and result in payment of increasing dividends to our shareholders. I wish to emphasize a point though that while the portion of our assets we hold in equity securities is not producing income, the debt proportion is. And in the most recent quarter, our total interest-bearing debt portfolio had a 12.5% current cash return, which is a primary source to pay our dividends. Additionally, we often negotiate as a component of our debt instruments what we call success fees. These are enhancements to the return. And when we receive these success fees, generally upon exiting an investment, that extra income is designed to enhance the total returns on our investment.
 Keeping in mind that success fee income which can be lumpy and although significant is not reflected in our reported debt yields on a current basis, which we generate based on monthly cash interest payments from the debt investments. The other component, equity, which we acquire through the purchase of stock in the companies while not producing a current cash income, we believe, will appreciate in that value overtime. As an example, since mid-2010, we have realized capital gains of approximately $28.6 million through stock ownership in various portfolio companies. And as we grow our portfolio, we will seek to increase the interest income to pay dividends, but also seek asset appreciation through growth in equity value of the stocks that we own. We believe this strategy is working and our net asset value of -- or book value per share is a good indicator of that, in that it has grown over the last year, from about $9 per share as of December 31, 2010, to $9.58 as of December 31, 2011, for an increase of about 6.4%. So our primary goal is to grow our dividend payout to shareholders while increasing total value.
 From a deal origination standpoint, and we generally obtain our investment opportunities by partnering with the management teams, private equity firms and other sponsors of buyout, our combination of debt and equity gives us a competitive advantage. It provides 2 important and necessary portions of the capital structure needs buyout transactions.
 In addition, we may find opportunities to provide capital in support of business owners and management teams who are not seeking to sell their company outright, but to sell a portion of their company to us. In this case, we will invest in debt and equity in exchange for a significant ownership in their business. In other cases, where the owners of a business have a need to strengthen their balance sheet for growth, we would invest in debt and equity for this purpose.
 In terms of the activity for the quarter ended December 31, we invested in one new buyout, a company called Channel Technologies, Inc., for a total $18.5 million, of which $16.9 million was in senior and subordinated debt combined and $1.6 million in equity. This investment was made to support a private equity sponsor and the management team of Channel to purchase the business from the previous owners.
 Channel briefly designs and manufactures ceramic, acoustic and calibration products used in military, commercial and medical applications. Regarding the military, it's predominantly towards the navy submarine business, which we think is a good one relative to the budget issues that we all face in the government.
 During the quarter, we also deployed $400,000 to one of our existing portfolio companies. We also received $11.4 million in repayments, which includes the payoff at par of one of our syndicated notes, American Greetings Corporation; and one of our proprietary loans, Quench Holdings Corporation. That Quench loan actually was valued at 75% of principle at March 2011, but good pay off at 100%. So this was a nice gain in relative value.
 As a result of these activities, at the end of the December quarter, we had $264 million invested in portfolio companies at cost and total assets of $319 million. We maintained our dividend stockholders for the current quarter of $0.05 per month per share. And since March of 2011, we've been able to raise our dividend by a total of 25%.
 In general, our portfolio companies are performing well, and we are seeing improvement as reflected in our quarter-over-quarter increase in portfolio valuation, which was approximately 1%. Since March 31, 2011, the portfolio valuations increased by about 8.5%.
 So actually, on these calls, usually I like to acknowledge the value of our portfolio management activity, which we believe is really one of our strengths. It is an important part of our investment management approach where we work to limit losses, increase equity value and preserve cash flow from our portfolio companies.
 The portfolio management team provides value-added services such as one, strategic and business planning. And this is where we work with outside resources to assist the portfolio companies and continuing to review their competitive positioning and their talent resources among other key metrics.
 Secondly, our team also helps in operating management support. In this activity, we tap experienced operating management talent who are either on our staff or from a pool of talented folks that we have cultivated over the years. They help the portfolio company streamline operations and evaluate, where appropriate, add-on acquisitions for those specific companies.
 Third, we also organize conferences for the CEOs of our portfolio of companies. This activity facilitates interaction between our portfolio of companies’ management teams so that they can exchange ideas such as best practices in purchasing, pricing, organizational health and manufacturing disciplines.
 The last conference we held was in October 2011. It was a great success. We believe these activities to be extremely important as a competitive strength while we add value to our overall portfolio.
 So looking at the flow of deals, the marketplace so to speak, we're seeing these opportunities where buyouts continue to be good in both quality and quantity. And there are really 3 drivers as we see it for this. First, while the general economic conditions create some uncertainty, we do continue to see improved stability and more middle market businesses actually returning to profitability. This improvement in profitability is causing an increase in supply of good businesses for sale as owners are taking advantage of these recent positive results.
 Second, senior debt, which is important for leverage, is available at attractive rates, and we are seeing the lending ratios of these relative to the EBITDA or cash flow, being at around 2x to 2.5x, which is pretty attractive.
 Third, the private equity funds that generally sponsor these buyouts do have significant amounts of capital to deploy. And because they are anxious to put their money to work, that tends to add to the activity in the space.
 The result is, first, we are finding opportunities where the valuations relative to the trailing cash flows are about 5x to 6.5x. So really good companies. Now we are seeing some that are higher in these valuations and frankly, we tend to avoid them and, therefore, it means that we will miss some investing opportunities as we do not like those risk/reward profiles.
 Secondly, these private equity firms, as I mentioned, are able and willing to increase the equity portion, some cases up to 50%, of the total capital required for transaction and, therefore, the mezzanine and the equity co-investment, which is where we play, is in demand to fill the gap between the senior lenders and the equity investors. So good outcome for us.
 So these factors, as I just mentioned, are favorable to our investment objective. We are active in our marketing and deal generating activity where we stress our competitive advantage of being able to provide the subordinated debt and the equity to complete a transaction. However, as usual, we continue to be cautious about the economy, and we will be diligent in our pursuit of new investments. Our marketing efforts and the presence in the marketplace should allow us to continue on a growth trend with additional new investments over the next year.
 So our goal for this fund is to maximize distribution to shareholders, which we increased, as I mentioned, a total of 25% since March 2011 while achieving solid growth in both the equity values and the assets in the portfolio through proprietary investments in the lower middle market company buyout arena. And so, David, this concludes my part of the presentation. 
David Gladstone: Well, thanks very much. That's a great report, David Dullum, and we share your excitement about the future of this company. Now let’s hear from our Chief Financial Officer, David Watson, on the company’s financial performance for the quarter. 
David Hibbert Watson: Good morning, everyone. Before I go through the financial statements, I would like to highlight several key points. First, our closing on 1 new buyout, Channel, during the quarter, totaling $18.5 million, highlights our commitment to steady investment growth. Since October 2010, we have invested in 6 new portfolio companies totaling $114 million.
 Second, we believe our portfolio is continuing to perform well. This is reflected in the $1.7 million of net appreciation on our portfolio of investments during the most recent quarter, and $13.1 million since March 31st of 2011.
 Third, we extended the term on our line of credit with BB&T and KeyBank, increased its size and decreased the interest rate. At the time of this call, we have $21 million borrowed on our line of credit, and we have about $2.1 million in cash on the balance sheet. We have the ability to deploy more capital for the right opportunities.
 And lastly, we forecast that 100% of our distribution is paid -- distributions paid in fiscal year ending March 31, 2012, to be covered by income and not a return to capital, which highlights our commitment to sustainable distributions and preservation of stockholder capital.
 Now for the details, and I’ll start with the balance sheet. At the end of the December quarter, we had $319 million in assets, consisting of $227 million in investments at fair value, $86 million in cash and cash equivalents, and $6 million in other assets. Included in the cash and cash equivalents is $85 million of U.S. Treasury Securities through the use of borrowed funds at quarter end to satisfy our asset diversification requirements.
 We had $107 million in liabilities, which consisted of $29 million in borrowings and outstandings on our line of credit; $76 million borrowed via short-term loans; and $2 million in other liabilities. In all, we had $212 million in net assets, or $9.58 per share. So we were less than one-to-one leverage on our senior secured borrowings.
 As mentioned briefly in my opening remarks, we renewed our line of credit with our good friends over at BB&T and KeyBank on October 26, 2011. We increased the size from $50 million up to $60 million, with a potential to expand to a maximum of $175 million. We extended the maturity from April 2012 to October 2014 with 2 1-year extension options as agreed to by all parties. That could push out the maturity to October 2016, with all principal interest due by October 2017. In other words, the term of the transaction has the potential to be 6 years.
 The interest rate decreased from one month LIBOR with a 2% floor plus 4.5% to one month LIBOR with no floor plus 3.75%. So based on where LIBOR is today, our interest rate is approximately 4%, which is down significantly from 6.5% under the previous terms of the line of credit.
 Lastly, the unused fee is 0.5% at all times. Previously, it was between 0.5% and 1%, depending on our borrowings that were outstanding. We believe this is a good deal for our company, and we hope to utilize it to make more quality investments.
 Currently, we have $226 million in investments at fair value, cash of $2.1 million, and $21 million in borrowings. We believe this to be a safe and conservative balance sheet for a company like ours and believe our overall risk profile is low.
 Moving over to the income statement. For the December quarter end, total investment income was $5.2 million versus $10.7 million in the prior year quarter, while our total expenses, including credits, were $1.7 million versus $3.1 million in the prior year quarter, which leaves net investment income, which is before appreciation, depreciation, gains and losses, up $3.4 million versus $7.6 million for the quarter last year, a decrease of 54%.
 The decrease was primarily due to other income of $6.3 million that we recognized from the sale of Chase in December of 2010, partially offset by an incentive fee expense of $1.9 million during the prior year period and due to a larger interest-bearing portfolio and a higher yield on debt investments resulting from the new investment activity since December 31, 2010, which increased our interest income by $1.2 million during the current quarter.
 In other words, excluding the impact of other income and incentive fees, which primarily related to the Chase exit last year, net investment income was up $0.7 million or 25% during the 3 months ended December 31, 2011, compared to the prior year quarter.
 Lastly, I think it is important to point out that our weighted average yield on interest-bearing debt investments increased to 12.5% in the current quarter, up from 11.5% in the prior year quarter, which primarily resulted from the addition of approximately $88 million of new higher-yielding debt investments that we have made since October of 2010 that have a weighted average interest rate of 13.2% as of December 31, 2011.
 Let’s turn to realized and unrealized changes in our assets. Realized gains and losses come from actual sales or disposals of investments. Unrealized appreciation and depreciation come from our requirement to mark our investments to fair value on our balance sheet with the change in fair value from one period to the next getting recognized in our income statement. Unrealized appreciation and depreciation is a non-cash event.
 Regarding our realized activity, from December 2011 quarter end, we had a net realized loss of $0.1 million, primarily related to the sale of Neville Limited, partially offset by post-closing adjustments -- a post-closing adjustment gain related to A. Stucki exit in June of 2010, which we realized in the current quarter. During the December 2010 quarter end, there was a $6.9 million realized gain on our sale of Chase in December of 2010.
 As for our unrealized activity, for the December 2011 quarter end, we had net unrealized appreciation of $1.7 million over our entire portfolio, which was primarily due to increased performance at certain of our portfolio companies and to a lesser extent, increased multiples which resulted in a notable appreciation in our equity investment.
 Our entire portfolio was fair valued at 86% of cost as of December 31, 2011. And our stock is trading 87% of fair value. This means that the current price of our stock is 74% below the cost basis of our net assets. The cumulative net unrealized depreciation of our investment does not have an impact on our current ability to pay distributions to stockholders but does indicate that the value is lower and there may be future realized losses that could ultimately reduce our distribution.
 During the quarter, we had another component of unrealized depreciation, which related to the fair value of our credit facility. The quarter end of December 31, 2011 recorded an unrealized appreciation of $0.4 million. The renewal of the credit facility occurred due to an orderly transaction during the 3 months ended December 31, 2011, and cost was determined to approximate fair value.
 Now let’s turn to net increase and net assets from operations. This term is the combination of net investment income, unrealized net appreciation or depreciation and realized gains and losses. For the December 2011 quarter end, this number was an increase of $5.5 million, or $0.10 per share, versus an increase of $15.1 million, or $0.57 per share, in the prior year’s December quarter.
 The year-over-year change is primarily due to the $6.3 million in other income recorded in the prior year quarter and the net realized and unrealized gains on investments in the current quarter of $1.7 million as compared to net realized and unrealized gains on investments in the prior year quarter of $7.5 million.
 While we believe our overall investment portfolio is stable as demonstrated by cumulative net gains over the past 2 years, it continues to meet expectations. Today’s markets move fast and are generally volatile, and investors should expect continued volatility in the aggregate value of our portfolio.
 From an asset-quality standpoint, the risk weighting system we use set our proprietary loans, which represent 100% of our portfolio as a weighted average of 5.3 for this quarter, which is down from 5.9 in the quarter in December 31, 2010. Our risk weighting system gives investors a probability default rating for the portfolio with a scale of 0 to 10, from 0 representing a high probability of default. We see the risk in this portion of portfolio as being relative to the same as prior quarters.
 Currently, all of our portfolio companies are paying current except for 2, ASH and CCE, which both remain on non-accrual this quarter. Regarding interest rate risk, 76.6% of our loans have variable rates, but they all have a minimum or floor in the rate charge. So with the low interest rates that we have experienced in the last 2 years, these floors have minimized the negative impact of our ability to make distributions.
 The weighted average floor on our variable rate loans is 3.1%. The remaining 23.4% of our loans are fixed, and we believe they are at relatively high rates. The average on the fixed rate portfolio loans is 10.2%.
 On the other side of the balance sheet, in the event we have borrowing outstanding, we have an existing interest rate cap on $45 million of the debt on our credit facility in order to have some protection at a cost of [indiscernible] if interest rates rise over the next couple of years.
 With that, we look forward to maintaining momentum and hope to continue to increase our income-generating assets to increase our reoccurring income and to increase our distribution to stockholders.
 Now I will turn the call over back over to David. 
David Gladstone: All right. Thank you, David Watson. You got through that with your bad cold, and we appreciate that. I hope each of our listeners will read our press releases and also obtain a copy of our quarterly report called the 10-Q, which has been filled with the SEC and can be accessed on our website, www.gladstoneinvestment.com and on the SEC website.
 I think really the big news in the first 9 months of the fiscal year was that we believe we’ve recovered from the recession and on a good way back up. As you can see, the net asset value moved from $9 in March 31, 2010 to December 31, 2011 at $9.58, 6.4%, and we're putting some new deals on the books.
 We do have a favorable and new 3-year line of credit with BB&T and KeyBank and room to borrow under that line. We're also looking for new transactions, and I think we are also looking and hope to find another bank to join the line of credit.
 We've closed another promising investment this quarter, and we had some loans marked down by our valuation service that paid off at a 100%. And this is an indication that we do bring investments back from problems that they might have and get them back to a period where we can make additional money from them.
 The next step in our fund is to obtain some long-term credit from a lender or in capital markets. And we're exploring that now. We’re looking at debt and preferred stock, and we have some serious offers for long-term debt. So we’re looking at that as well. This is really a fabulous fund at this point in time and a great opportunity for the future, so we’re very excited about this fund's opportunity in the next 12 to 18 months.
 Everyone always asked me what we’re worried about, what could happen to us, and of course, we worry about the cost of oil because it has such an impact on everything. I filled up my car yesterday and it was at $3.60. And just to compare that, in China, for example, they subsidize their gasoline prices there. And if I was filling up in China, it would probably be $1.80 per gallon.
 This trade deficit we have with China and other countries just continues to drain our economy, and China does subsidize their businesses. And China has destroyed thousands of businesses in the US and caused a loss of many jobs. And every time we look at a business to buy into them, we have to ask the question of how could China damage us or damage this business? So it is one of the threats that we worry about.
 We’re also very worried about inflation now, and this comes about by printing so much money and borrowing so much. We worry that the dollar will have a big depreciation over the next year. Inflation is coming. We all know that. It hasn’t come yet, primarily because the government is propping all of that up. But this is going to hurt a lot of people. And when the government needs money, it seems like every time they turn around and borrow more money, they’re really just putting it on all of us, on our credit card in essence, and we will have to pay it back someday.
 The amount of money being spent on the war in Afghanistan is hurting, and we think our soldiers are wonderful. We hope they get home soon, and we're glad to hear that the war may be over in 2013.
 Even worse than all of these things going on, and I keep complaining about it because it’s so damaging to everybody, is that the federal government continues to spend enormous amounts of money. It looks like the deficit for this year will be $1.1 trillion. I think it’s the first time in history that the American people have finally woken up and realized that, that money is going on their credit card and that they'll have to pay it off over the future. Hopefully, that can be stopped.
 Employment is certainly worse than anybody forecast, and the government’s reporting of the percentage of out-of-work people is still very high and likely it’s really higher than that considering the underemployed and those who have stopped looking for work.
 All the money being spent by the government, little of that money is being aimed at small businesses. Another initiative was announced by the administration. Hopefully, that will work. But the problem of course is that small business creates about 80% of all the jobs, and this new spending has missed many of the opportunities to stimulate the small business area. Congress and administration say they're going to help small business and have announced new programs, but they almost ever do, and we're hopeful this time that there'll be an impact there.
 In many other ways, though, the U.S. economy is still resilient. It’s coming out of the recovery slowly. It’s amazing how the last 3 quarters ending December 31 have not grown much at all. It’s been just stymied by so many things that are out there. And I know it’s going to be a while before we see those problems go away.
 Entrepreneurs in many of the small businesses that we own and don’t own for that matter are very savvy managers. They’ve kept their costs low, and we are lucky to have so many of them in our portfolio. I still believe the bottom of the recession has been hit, that we're not going to go down from here. It’s just a matter of how slow we come out of all of this problems that were in. And I believe that over the next year, we should be okay.
 The distributions declared by the Board of Directors in January was $0.05 per month for January, February and March, and this is a run rate of $0.60 a year. The board next meets in April. They could consider and build upon the April, May, June dividends. We're up 25% this year. At this distribution rate, with the stock price at about $8.29 as it closed yesterday, this is a wonderful high yield for a great company with a lot of potential. I hope we can pay an extra dividend or increase the dividend in the next fiscal year. I think that’s one of the things that we’re all looking at right now.
 Now please go to our website and sign up for email notification service. We don’t send out junk mail, just news about your company. Go to www.gladstoneinvestment.com. That’s the site, and you can follow us on Twitter under the name of Gladstone COMPS, and also find us on Facebook under the word The Gladstone Companies. Many ways to follow your company.
 In summary, folks, as we summarize here, as far as we can see, over the next 6 months or so, everything looks okay. We can only see a couple of quarters out. Nobody can forecast the future beyond that. So we are stewards of your money as we say every time, and we’re looking for new investments. And I think we'll land a couple before the end of June 30 this year.
 And well, let’s just stop here and have some questions from some of the analysts and loyal shareholders out there. So please come on, operator, and tell them how to do that. 
Operator: [Operator Instructions] And our first question this morning will come from Mr. J.T. Rogers of Janney Montgomery & Scott. 
John T. G. Rogers: We had another strong quarter of portfolio appreciation, I guess particularly in the equity of Mitchell Rubber and Tread Corp. Would you all expect another -- to see another exit sometime in the near future? 
David Gladstone: I don’t think there's anything on the horizon that we want to fill right now. As you know, our goal many times is to hold on to these deals, and we don’t really see selling any of them in the near term. It may happen, but it’s not something we’re currently working on. So I would say don’t look for any uncertainly in the next 6six months or year. 
John T. G. Rogers: Okay, great. And then you touched on the number of opportunities out there a little bit. I was wondering if you could talk about how the pipeline looks now versus in the prior quarter. And then also, I was just wondering if you could talk about the competitive environment, and what is the supply of junior capital look like and then on the buyout side, are you seeing any competition from strategic buyers? 
David Gladstone: Well, Dave Dullum's in a position to do that. He's just back from a trip. So go ahead, Dave. 
Dave Dullum: Sure J.T. Yes, a lot of questions in there. I'd say, on a global level, as I mentioned, the pipeline, the flow of deals, let’s say, is good. We think and what we’re hearing from certain investment bankers and other guys involved in the M&A side is that over this next year, it ought to increase. So we’re sort of looking for that. I'd say that the one area -- I mentioned as well that we really look carefully at obviously evaluations. And so if there's one thing I’d say, valuation seemed to us, in some cases, a little bit on the high end, and we are not going to push the envelope from our side. So if we don’t feel really good about, as I mentioned, the risk/reward, we are probably not going to be a player. And there is competition certainly in the junior debt category as you mentioned and clearly, from our end, we're competing more where we can combine the junior debt with our equity. And that’s a differentiator, frankly, so you'll find the sorts of deals that we're going to be really competitive and we keep working hard on, the Channel Technology types where our equity has a meaningful part in that particular transaction, and we think of it from that perspective. So all in all, I'd say certainly, the outlook is good. We're going to keep working hard, keep finding the deal opportunities, but we really ramped up that effort. So again, we think we should have a fairly decent year over the next 12 months. 
Operator: And our next question will come from David West of Davenport & Company. 
David McKinley West: I was wondering -- you’ve done the short-term borrowings at quarter ends for the asset diversification test. That dollar amount was up this quarter. Was there any particular reason for that? 
David Gladstone: Dave Watson? 
David Hibbert Watson: Sure David. It was up, because we put on a lot of new large deals over the past year. But we actually believe we're getting closer to the inflection point. I've been able to reduce the amount of T-bills going forward. For example, if we were to put another $15 million of non-qualifying assets on to our books, we actually would have been able to reduce the amount of T-bills we bought this quarter by $15 million. And conversely, if we put another $15 million of qualifying assets on our books, we actually would only had to have purchased $15 million for T-bills. So we're getting critical mass from a size standpoint in our portfolio, which is resulting in a lot more of our portfolio companies becoming qualified versus be non-qualified from the 5% size standpoint. So we feel like we’re at a high watermark and hope to see that the amount of T-bills that we purchase at each quarter to reduce over the next year. 
David Gladstone: You've got a follow-up question, Dave? 
David McKinley West: Yes, just turning to the borrowing side of things, you -- great achievement now to get your line of credit extended in a great rate. Your borrowing levels currently are very modest. You clearly have room for further leverage. Is there a point, assuming that you don’t get the other sources of longer term financing that you discussed, that you'd start to consider options like a common equity if borrowings, say, reach 50% or more above current net assets? 
David Gladstone: Well, there's a lot of ways to solve that problem as you just brought up. First of all, if we can get additional members to the borrowing of the short-term, we can raise that up. As you know, in our other fund, we’re up around $137 million. So if we can move this one up to $100 million or $150 million, as I think we may be able to do, we don’t need as much current borrowings as you’re indicating. But the problem here is that both of those lines, whether in this company or in the other, are short term. And we always want to get into the long term. So the question for us is should we go ahead and find some long-term borrowing now? We’re working with one lender, I don’t know if it'll come thorough or not. It was indicated that they will lend to us. And there is always the possibility of doing some term preferred stock or some regular preferred stock before we get to the common stock. We always hate to do common stock at this price, simply because it’s dilutive to our existing shareholders. And the goal here is to increase the dividend to the common shareholders. So sometimes, we can borrow money at a cheaper rate or do a preferred stock at a cheaper rate, and that becomes accretive, meaning we can increase the amount of money going to the common shareholders. So we play that game and we analyze it probably once a week. We sort of run it through our model to determine which is best for common shareholders. And I don’t have a decision for you today, but look over the next 6 months or so that we will have to make a decision. 
David McKinley West: Just this one follow-up to those comments, is the long-term lender you mentioned, is that like an insurance company? 
David Gladstone: It’s a good long-term lender. I'd rather not categorize them because I think they would -- you might know who they are if we categorize them. 
David Hibbert Watson: By the way, just a follow-up on Dave West, the borrowing of the $85 million is done over a 3-, 4-, 5-day period. So it has very little impact on the earnings power. It just allows us to qualify under some regulations that the IRS has. 
Operator: [Operator Instructions] And we have a follow-up question from J.T. Rogers of Janney Montgomery & Scott. 
John T. G. Rogers: David, just another question on -- sold weighted average credit quality fell during the quarter. Just wondering what drove that? And then just a follow-up. So I guess CCE was structured partially, and the fair value was written down in zeros. Wondering if you'll give some detail on what’s going on there? 
David Gladstone: David Watson's going to handle that one. 
David Hibbert Watson: Sure J.T. I'll discuss the credit quality, and Dave Dullum will talk to you a little bit, really give you a little color on CCE. On the credit quality, on our loan ratings, a major component of those is the duration of our securities. So the farther out the maturity date is, the lower our risk rating goes based on the risk of time. So since October 2010, we've put 114 million of new deals on our books. It generally had a maturity date of 5 years or more. So even though they are new investments and are performing as expected, our risk rating system penalizes them based on the maturity date being way down the road. Another example is Acme, which is performing really well, but we just extended the maturity date out 3 years during this current quarter. And it’s risk rating decreased 4 points based off just the extension of the maturity date. So we felt good about the quality of our portfolio, and don’t believe a drop of 10% on our loan ratings at this time. It’s really indicative of current credit quality, but it’s more reflected of just -- of having a younger portfolio at this time. 
Dave Dullum: And J.T. just briefly, if you want me to touch on CCE, what we did there, as I think I've mentioned in our last call, the company had, as a lot of companies in the economy and in particular around the Gulf industry, there was clearly a drop off, if you will, in demand, although they stayed very, very high, relatively speaking, because they have a fairly unique niche in the New England area. There was some margin compression frankly. So as a result of that, their EBITDA, while it was still positive and good relative to where we bought the company, it was clearly off. So what we did frankly were a couple of things. One, we strengthened the executive management approach to the business, which is a positive. That’s one. And two, we actually did do some restructuring of their balance sheet, which meant really that we converted some of our debt to a preferred stock and we took some additional preferred stock for some interest accrued, et cetera. So we restructured the balance sheet just to give the company more flexibility. It’s got positive cash flow and restructured the debt also where we expected it'd be able toggle back overtime. So it’s one of those that we’re just working through. The businesses is actually performing well. It’s picking up. Things are going better. So I think over time, we’ll see it get back to where it needs to be. So the 0, if you will, was more a function of the overall enterprise value, the way we do it, certainly being not high enough, if you will, to cover all the debt. So all in all, though, we would feel good about the business, and it just had the impact in that quarter. 
John T. G. Rogers: Okay, great. And I think you’ve talked about this before. Do they still have that irrational competitor out there negatively affecting pricing? 
Dave Dullum: a great, great question. What we actually have found is -- and as we go into this New Year, of course, it tends to be seasonal business. We actually are winning more than we’re losing and actually have had some pretty good wins. And what we’ve found is they can only be rationale so long. And plus, we’ve frankly have gotten much better support from our manufacturer, which happens to Club Car, which is the main competitor to the irrational competitor. And as a result of that, frankly, it's helping. So I’d say we got a good team effort going there now, and as we go into the New Year, I think we will end up improving our market share again relative to where we were before. 
David Gladstone: And just to end, J.T. had asked about selling businesses. That’s one way that we can get additional income is when we sell them. Another way of course, and it happens quite frequently in larger companies, is to do a dividend recap, as they call it, in which the company borrows money and pay the dividend out to the shareholders, and management usually gets a bonus as part of that. So another way for us to cash in and not really sell our company is to have a dividend recap. And while we don’t have any of those on the horizon, that’s just another way to play the game of taking money out of very successful deals. 
Operator: Mr. Gladstone, at this time, I’m showing no questions in the queue. 
David Gladstone: All right. That will end this conversation, and we look to talk to you again next quarter. Thank you all. 
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.